Operator: Ladies and gentlemen, good afternoon, everyone. Thank you for waiting. You are all welcome to the Teleconference of Eletrobras to talk about our Results of the Trimester 2019. All participants will be listening to the teleconference during the presentation, soon after we'll start the Q&A when more instructions will be provided. We would like to remind you that this is available as a PowerPoint in the Investor Relations website of Eletrobras. [Operator Instructions]Before we continue, we would like to make clear that essential declaration that might be done during this teleconference related to the business perspectives from the Company, projections, operational goals and financial goals are belief and premises from the Board of Director Eletrobras based on information actually available from the Company. Future considerations are not performance guarantees, as there are risks and uncertainties involved.The investors should defend that the general economical conditions and other operational factors can influence the expressed results in future consideration.Now, I would like to pass on the floor to the CEO, Mr. Wilson Ferreira, also to the CFO and also to Ms. Elvira Presta, the CFO.And I'd like to thank you for the opportunity. Please take the floor.
Wilson Ferreira: Good afternoon everyone, all the investors, people who have been following us on this presentation of our trimester results. Now, we will continue with our presentation. It's fairly long this presentation, considering the last trimester but I'll try to go through it quickly. And starting on Page 4, so our highlights, this we have two pages. The first one talking about the project of last 5187 that was sent to the Congress last week and now we started the privatization process from Eletrobras and increase of capital. We're going to talk about it throughout this presentation.I'd also like to tell you that the proposal for increases capital for both in the 16th AGF. The day after tomorrow, we are going to present our capitalization process with our resources from good part to the unit and they are going to provide it to the main shareholders. We are going to have talking about it throughout and they are also going to talk about our work to important to them First of all, we have the presentation represent our program also people that get to finish with the and its going to start and its voluntary program and we already have 1,681 employees and that's going to improve by BRL500 million and they're are going to mention some of things.I'm also going to talk about the third part the outsource disconnection. So more than 1,000 third party employees, it's going to save us 218 million a year and as you are thinking about the estimated cost which are going to be more than BRL430 million for another we're still continuing with our process average, the Company is 1.8 times the net debt at TGA adjusted so we have been doing upon this charge and we had that have been in July 19 and we got BRL3.9 billion and we also had a cash flow than was than to express at September and its almost a have BRL200 million to receive them to December this has the first four highlights of the Company.Now we're going to continue talking about generation to more than 50,000 megawatts of installed capacity we had a physical aggregation of more than 1,000 megawatts so a 4% growth compared to last year and an increase of BRL1 billion in income. In transmission we are getting close to 71,000 kilometers of transmission line, there was a reduction of 105 kilometers due to the SPES. So we still had an aggregation of BRL24 million aggregated in our transmission system. We also would like to talk about governance, the Company in the highlight program for governance created by D3. We went over from a concept of 60 points. We've moved from 50 to 56, so we're doing it very well and we're close to the maximum score and remind you that we have the maximum score from 30 in economy ministry.We also have a prediction of, so we're going to have processed by Amazon as there for BRL619 million and on the other, it's important to mention that we preserve credit from up to BRL3.5 million, which is the priority resource from the alpha efficiency of economics and energetic. So those were the highlights now we're going to talk about our main results here which we're going to talk a little bit further on, on the first line, we are talking about the state reported fits and in the bottom line that we call recurrent from the event that are non-recurring. So a very good results, we are still growing our income 9.7% getting close to BRL8.79 billion and EBITDA we had 303% increase getting close to BRL2.7 billion and the next process which is close to BRL716 million so we reverted to losses we had last year and we grew in the 132%.It's important to follow with the recurring results how we do the revenue of BRL853 million. So the issue of recurrence doesn’t have to do with our income. we had 24% growth with EBITDA which increased in 3.2 million, and we had growth 24%. And there is like profits we go to 2.97 billion, so we had a 43% increase compared to last year at the same time, which was 1.46 billion. So as I've been talking about the restructuring of the Company, looking at the privatization process, so talking about our business evolution, we have two pages about generation is starting on the first one very important data. We've already aggregated 1,035 megawatts in 2019 industry master with generating unit from Belmont to 15 and 16, would they reach 10,000 megawatts in installed capacity and we already have 17 already in commercial operation. And we're going to have the final machine in commercial operation, which should inaugurated launch it still in November. We had in the beginning of the commercial operation of the Sinop. So we're talking about the first machine which is the generating unit 2,200 watts.But we've already had the commercial operation from generating unit one. So we conclude that this is not the project. Just talking a little bit about the whole capacity of the Company 550,439 for the process of we've had a percent loss, but as we look here Brazil related to the third trimester of last year we had an increase of 1,955 megawatt, 28% of the Electro. So it contributed really 28% less than the 30%. It holds it's going to have a small percentage or less in participation. But it's important to also say they're tied to number two assets there are four have a possibility of private service, and they represent 5.4% of this capacity.Another interesting restructuring you can see here on the right hand side, that it reaches 96% of clean energy 92% of renewable energy, including solar and wind power, and then we also have 4% for the nuclear and 92 is renewable and 96% clean energy. Also reminded that talking about thermoelectric, we had 4%, so 350 megawatts for hydroelectric than also gas turbine, so we're really increasing and improving the quality of generation.Elétricas already one of the cleanest and more renewable companies in the world, so if you look at this, after this post here, you can see this there's quite a lot. So we did save his head, generation of income for more than 5.13 billion from 5.13 to 6.12 billion. So that's an increase of 19.3% related to the trimester of 2018. So by looking here, you can evaluate it much is here, we are reporting, which are let's say the product that the Company develops in generation, so basically the exploration, which they are not covered by the last 12.78313, which are our production that is not under quote.So, we had an increase of 1,887 billion from that to 2.724 -- a 44.4% growth and really, we really have to pay attention there what's happened is that the Amazon GT has started operated specifically about three which already I guess concert established with Petrobras and just that was able to generate BRL720 million on our revenue. We still have fear on the other signs on the other block of brothers sister company. You can see here in quotes register following 12.78313. So, we went to 61 million to 925 million so we had an increase in gas and there were also readjustment from the cycle and we had 374 million. On the right hand side we have here the free market.On each block, you can see what the volume of metalwork that we have. So, you can see here it stays at 7,461 in the O&M following the law and in expiration, we had 22.3%. So in the bilateral contract we went from 5.04 megawatts to 5.179 megawatts and the PLDs are going down. So of course, here there was almost a 60% fall, but we only had a small fall in income from 2.2 billion to 2.098 and here we have the generation with CFDD, so we had the reduction from 480 million to 367 million also proportional to the OD.So adding up everything, thinking about the generation, it goes from 5.1 billion to 6.15 billion this year. So we had a very important growth from 19.3%. On the right hand side we can see that the GSF went there was really above here, but also in the field it's quite stable comparing to the operations in the ACL operations. And ACAR operations went from 240 million to 280 that's our stars 288.79 megawatts. So that's our generation capacity. So in here, our enterprises begin build to start in of course for the Belmont to use it.So as I said, that's going to have 1100 to 1133 megawatts. It's the biggest plant really that we have here, and it's the new and it's been -- we have and the solar power plant is that into Eletrobras BRL2.7 billion. So, this not the power plant which started in the last trimester. It's also a 402 megawatts power plant, 49% off the power plant is belong to Eletrobras and then upto BRL142 million a year of income.So, that is our controlled company standard and controlled by Eletrobras. Then we have 15 wind parks implemented and in this group we have 2200 megawatts being produced in most of this parks are already in commercial operation and they're going to have as a whole production from a BRL150 million in income. We also have in 2019, we have, from 2020 we are going to have well so we are going to have and we're going to have the UTA 3 by January 2026.This is specific one inside which are closing. We have best turbines for 350 megawatts and we are going to have a steam turbine for a 150 megawatts and Eletrobras has a participation of 100%. So, we are closing the combined cycle in the UTE Santa Cruz Further, I'll talk a little bit about our investments but depends from the PTI investment you see it's really things are on course for us to be able to have a certain partner to conclude this project.So, we have 3,212 megawatts in Brazil to enter in a operation with the participation of Eletrobras 2,495 of this megawatts belong to Eletrobras and through 2021 in December, we're going have an entrance in operation in commercial operation 1,091 with the Santa Cruz starting and then by 2026, we're going to have 1,405 from So, we have 70,924 kilometers of transmission lines and you can see 45.2% of participation in the market in Brazil.Last trimester, there we're 48%. This is due to the delivery of SBS that we sold, FP that we sold. We have the reduction of our network by 105 kilometers. So, we had 24 million in totally aggregated into Eletrobras company you know of course it highlights from 17.1 million. We also had more plus 6,159 kilometers in Brazil relating to last year. So, some good news corporative buildings are being constructed with potential revenue of BRL300 million so let's talk about our financial results.So first on the left hand side, you can see what in the IFRS and underwrites inside the recurring issues. So you can see here the revenue has gone up by 10 in the IFRS and 11% in the recurrence. So, the main reason for this entrance of Amazon GT and the energy from PIEs, so in the second line PMSO we have a fall here but we're moving in the right direction 9% of all, 17% in the recurrence.And here are many items but we're going to talk them a little bit more but attach to it many confidential program that are on course and written of some releases and I can tell with IFRS 16 and demobilization of atomic power plant in that acquire. So this is what happen in this time, we also had an increase of cost in operation extended by 8% and it has to do as we have 469 million growth in the revenue from Amazon GT of course there was an increase in during the BRL41 million. So this is the cost increase hat we had 8%, but they generated an increase of 10% and 11% in our revenue.So our operational provisions remind you that last year in this trimester, we had this resource from the compulsory and we're reporting BRL1.2 billion as we current but here you can see the 690 million that we have in the highlights referring to PCC and Amazon for distribution and the 154 million provided for people to be leave the Company and we have more than 1,000 people leaving the Company voluntarily by the end of the year.We have also had some share that have been compensated for BRL100 million from third parties GFS from so Brazilian that was a reduction of this provision BRL155 million of provision holding and a smaller provision for compulsory companies we're going to show you that in our better chart and here the solitary participation so we had a fall of 140 million equivalent to Belmont transmission and there are 114 million from the collegiate equivalent.Eletrobras is in a positive much more situation and its growing. That’s why we report the EBITDA growth from get into, sorry so in the normal way 2766 billion, and the recurrent 3.9 billion, there was a depreciation and amortization, we had a small growth it's still being affected by a less expenses on adjusted this value and the ABSS RBSC, which was adjusted by the NTNV from six points -- from 5.68% to 2.6% trimester and amount is 442 million so it's really falling down quite a bit. So our revenue is 542 million.So that's great. The results then of course, income tax, and social contribution, almost increasing 200 reminding you last year we still had our operations continued operation with the distributors. And last year they generated in this trimester, 1.12 billion but we have already concluded that and we concluded here our work of the net result report in 716 and we currently 2.2 billion and 97 million so now we're going to talk about this details.Talking about first of all the growth income, we’ve reported that growth between from nine to 10.7 firsthand. We usually do it. This revenue removed the construction growth from 7.995 to 8853. And that has to do with the growth of all our activities. The exploration regime we've grown 8% also talking about Amazon GT and homologative the independent producers and pass on 68% from the typo relationship inflation in the USA.We also have the regime of O&M and we also had the transmission and so that's our readjusting of our quarter. In transmission we have area just from a happy which is the resolution from a now the construction of BRL61 million has investments from share based and which compensated 16 million losses similar to Nigeria. We also had the RBS, the resolution homologative resolution of readjustment.And we had the contractual revenues, which are about 51 million has that were adjusted in telecommunications and so on. That services that already provided bilateral knowledge in Belmont, but as you can see me the exploration, service and investment in growth transmission before we had growth in our generation, exploration regime, the O&M regime, revenue operation and maintenance, construction revenue and also RBSE. So we had growth in all of them. Just a small fall in the contractual revenues and other revenues, but we had a lot of growth.So when we think about operational costs in Page 15, as it's already said we are report enough for in 7.7% in the operation of course IFRS. So we mentioned 158 million from is that from fuels, there was also in energy as follows 9%. But the method nine has less than 100 million we reported minus 60. And here it's important to mention that we've also had to know we were purchasing energy from fertilizer from Venezuela they can't really support us.So we had the reduction in that conflict. We had the growth in 43 million and we've got from energy from Amazon DT because we purchased them from independent producers. So details and the usage of the electrical network, there was an increase in 96 million of from readjustments of the transmission tariff fees and also in construction and transmission we are 74 million less for my lower level of investment.Let's go to Page 16 talking about personnel and material services and others. So, we can see there is a the reduction of course personal 1.1 billion we had the fall in a number of employees from 140 million so we have bit for 15,000 employees, and now we have 13.784 employees. So this expense of course, so please let's say in parenthesis in the letter nuclear of 12 million, the growth in the materials in the resources area is an increase of 11 million, especially when we talk about chassis materials for manual maintenance.And also we had in DT Amazon, Amazon us to of course keep the power of plant. So third party services from all our companies talking about to reclassification of expenses with food benefits and health plans and we had an increase of 38 million intellectual nuclear from of course differences in competencies for maintenance offer I'm going to. So we had a decrease of course for others 242 million. So we had a prescription of tax credits that we had from 51 million.In the letter now do we had return from the mercantile arrangement of 10.6 million which is also now connected to Eletrobras and 24 million from non-recurrent events 125 million in fullness from the payment that we had to make to and in the past and we also got 120 million from retroactive launches and we had a 12 million reversion in BDC 19 just to receive next month. So the good news here is that the PMSO result has been talking about increasing dollar revenue in a consistent way until we built expenses. That's what we're trying to do constantly and also in the operation of provision, we are reporting a reduction.So, let's talk about these numbers. Starting here 690 million from the credits from Amazon Energy and we have 879 and the provision from of product 350 million from it's a jurisdictional agreement. So, both these numbers are now provisioned and the third party variation also we had provision of credit from CCC provided by Amazon Energy in the privatization process. So we follow now that number.So, let's about EBITDA, let's see here on the left hand side, the contingencies, the possible losses and others, we've reported last year we has 686 EBITDA now we are talking about 2.7 billion so it was good. But the result that we are looking here again is again up by 24% 766 million, due to an increase in revenue 727 basically from Amazon as majority transmission and some main event.So, the social tariff participation we talked about the follow transmitter connected to the operational costs which are in operational cost of 758 million growth, because of a consumption of fuel. So recurring PMSO we had a positive of BRL371 million and we just talked about in the last chart. Then we have here an EBITDA of almost 1 billion. We have 24% growth. So, now we are going to talk about our net profit, which is reported by we had a 132% growth. So, we are really recovering from the losses we had before and taken on the adjustment that we had it would be 1.469 billion, it used to be its 2.97 the recurrent profit.So, we had an increase of 43% and we had of course you know because of the tax income which is as high but very well. This is the talking about our company let's look at the graph in Page 21 before the page 20. So, looking at EBITDA, we can see they all are companies we had increase in EBITDA so in a Eletrobras energy Electro so there have been very positive, very consistent in all the control level.So, we have some non-recurring events that we will show here, which is the specific case of provision to turn off the connection of third parties, which is 354 million so it’s a lot of reduction, but it's due to this. So we revered in losses from shares, so now there are no more losses and the other company did very well as sound. As you can see I’m very, very pleased with these results. So going to page 22, now we we're going to talk about financial discipline and following up on our leverage.We have here 1.8 times growth because we consider and 23.4 which have been following since 2016, which got 8.8 times and now its 2.3 times, so you can see here that the four trimester has been going down from 2.2 to 1.8 and the profile again you see on the rest what we have in 2021, we plan to have a very good growth 1 billion and we're already talking about 5 billion to 6 billion on an annual basis now which is positive already. So with the liquid that gets into 22.1 billion.So now let's go to Page 23 to talk about investment. We have here a good and bad news, the good news is that we invested less. The bad news is that we could have invested more to now report. So those invest return they are generation and transmission as you can see here at the corporate works that we been doing we've invested in the less nine months more than 1 billion has and we had budgeted 1.8 billion in transmissions we've invested 6.84 million and our budget was 1.249 billion.So all the Company we common had some investment than but we look we haven't performed one two investment. So the good news is that 170 million were up fronted, we have budgets and we follow that and we have the debt from the hydrolytic power plants and we say its 100 million in energy because of the GSE, total investment we have in them but we're happy about it. We're also have an anticipation in which talked about before there was a no over and then it anticipates 77 million. Third, we have 1.4 billion that were postponed so this certifies the majority of our things that we have there.So we still haven't restarted on the building also in the last one the TNE, our regulatory Centrais Elétricas which will connect then there we also have planning for equipment in Santa Cruz which reported without commitment to the original chronograph its schedule, but between influence, we had lower investments, and reinforcements and improvements.On Page 24, just to show you that the market value from the Company is still going down coming close to the asset value. And now on page 26, just to talk about some report. This is digitization from electro brass. So it's very important to talk about the process. So we had and then announcements there were some announcement of the Company. So we're talking about the privatization of the Company and the value that the value that were designed in the project in the last project, to have values added by an inclusion of budgetary provision from the unit.So we can see here we are today our regime for us to predict a GCSF. And then we have also to define something that will have to be evaluated at the time of privatization. I'll talk a little bit about that further. So what we know for sure is that for plan has revenue of 3.5 billion investments from here at San Francisco, thinking about of course, all the expenses and all the taxes. What's going to be done here, it's an evaluation of GCL from this company, and we deserve the call. This is our added value.Apart from there, we have to remove from that randomization of non amortized investments. This will be done by the agency called confessions. And this will be considered Of course, and then we get to what they call economic benefit. It's important to mention to you, when you do this calculation, the premises that will be used for a new 30 confession that will be defined by this C&TE which provides us with a lot of security for this process. And not just by the logic of how to identify the value the premises have to be approved, but this is fairly transparent for the Brazilian society. This evaluation will generate the so called the economic benefit added value.Also when you consider some other than benefits there to be added, so I'd also like to mention by the termination of the process that we've been at deeper search and we’ve come to a very consistent work with here San Francisco with all the data that we needed and this was very important to us and up for the recognition of our credits from Electro brass. So we had our economic benefit from our payment methods that we have to benefit from the recognition of the credit from Eletrobas. We plan that will get you an evaluation how much this will cost to the Company one-third of this pass on from tariff, the taxes that will be reduced, to reduce this impact on the consumer and its benefit one-third goes to union of course.So it's going to be very transparent this process. I want to tell you that it's going to be done at the right time not right now. So in the government of course there is a budget, but it has to be validated it still there is no investment precision just that's ready to be older. So the macroeconomic issues that you define this flow, the long-term tariff all of this will be done at the right time, okay to offer transparency and a decision that can be passed on to the CPE and CMP and recreate a Brazilian corporation for energy.So we have here the stages. So first of all, it has to be approved by national congress, the DL, and then from the executive it goes straight to the chamber of deputies and the federal Senate. It goes of course, it has to be approved by the majority in both houses then this privatization model has to be confirmed by CDD. Then we need to review the physic warranties and guarantees from the DDU already had a review than about two years ago, and they will need to be another evaluation because some of the power plants have higher generations than what do we have to have a balanced change and it's going to be done EVD and just to make it clear to you we have 9,844 megawatts right now and once we add the values, which about 5 percentages we saw in 2017, we would have a reduction of 280 megawatts in discrepancies.So, this has to be done by the EPV then it goes to item four, which is to calculate the altercation and economic benefit value added and whatever is tax there are they will be removed and also the valuation of all the premises of course by the CMP then both things are there submitted to the council of this at the council of Eletrobas then a value comes from it, it has to be appreciated by their family and of course for this to happen there needs to be the decision to increase capital. And then it might not be enough for approval then we arrived after the increase in capital by the dilution of the union, we finally get to privatization.And to conclude, I just want to tell you about some facts that we are calling future perspective. The day after tomorrow, we're as you're going to have the 175th AGE to talk about the capital increase by private subscription, so almost BRL10 million and just to make clear that this will happen from 18th of November and to 17th of December to put to use the right, and then they're also going to answer in commercial operations for asset that is already mentioned, also highlighting that we are going to announce in the next trimester entry more than 156 kilometers of transmission alliance which are very important.The capitalization process for Eletrobras which was already sent to the Chamber Of Commerce, we will see this increase approval but it needs to be of course define by CMP and in a process of negotiation with the FPE, 39 in a process of sales and we are going to do this based on this increase and we're going to have this process which would really conclude until the end of this year corporation of CGTE and was suspended by a judicial and so we are waiting for the outcome of the judgment to release that will happen tomorrow.On this initiative, we have a conference to which is expected for the first trimester of 2020. And the beginning of generally already and then three CPPI the submission of the business model and the process selection of the private happen in the next two months. So, these are future prospects, very good perspectives. And there is our DDC which they coming at the end of the for also that we have more than 500 people that have joined. We have a due date upto Friday for those processes of addition for the voluntary leaving of the Company. So, we are very optimistic that this will happen very soon. By next weekend, we are going announce it to the market.So, these are our information. So, now let's start the Q&A.
Operator: Great. So, ladies and gentlemen, we're now going to have a question-and-answer session round. [Operator Instructions. The first comes from Andre Sampaio from Santander.
Wilson Ferreira: Andre, good afternoon.
Andre Sampaio: I'd actually like to ask a few questions, referring to the privatization process. First of all, I'd like to understand on Slide 26, you comment on the addition of the non-amortized investments. I'd like know that that's referring to that dispute that you are still with to the organization from the process which is similar to what happened in RBC, but it hadn't yet been talk about? So that's the first question. Second question relating to the physical guarantees. Do you understand that this was you with asset has been discussed in the public consultation from ministry. Is there is going to be any limit? Is there going to end 10% limit? Will that be really refused for the value of the physical guarantee? Or will it limited to 10%? And my last question is just to confirm when I look at this whole process of privatization the whole economical benefit calculated by saying DE, what would actually stay with the Company would be 3.5 billion from the credit from SEC, am I understanding this correctly?
Wilson Ferreira: Yes to start with yes, of course as a private company you are going to have better conditions to operate efficiently this company, of course and this is the first thing as we have 3.5 billion the added value is zero but referring to your other questions, removing from asking the demonization and the dispute that we have with, in our agency not really a despite but they have a responsibility to evaluate this value of course, that hasn’t been removed and that has to be checked and yes the value are part of our balance sheet.
Andre Sampaio: The review of the physical guarantee?
Wilson Ferreira: Yes I think the guarantee will happen and you are going to see the difference, we got limited to 5% of this evaluation that we had two years ago and it is a valuation of some cases for examples [Indiscernible] should be minus 9.2% it was 5%. So not a case that we know off, let me think about it. For Brazil it was minus 5 and it could have been 8.6, if you get all of this and the main apart from those 5% would have 167 average megawatts left than we have today. So the right thing is for you to get to a real physical guarantee that you have and that should be done. The regiment that you are going to establish from now on with the limitation of 10 to the end of their life every five years spending revision that depends on this consultation that’s been then now the factor.
Andre Sampaio: Perfect you explained really well. Thank you I really understood how the process works. Thank you.
Operator: The next question is from [Indiscernible].
Unidentified Analyst: Good afternoon everyone this is Marcello. Just to continue to Marcello's question when VP had their last revision of physical guarantees it seems that the reduction was very, very small as if it wasn't really measuring the reality of power plant, talked about somewhat technical people kind of rained, what average was used in this physical world is from North East power plant.
Wilson Ferreira: So, if there was a decrease in rain, the fall would be much bigger than what was defined by EPD. So in this process of write-off maybe a shorter series should be used to reflect reality and then you'll have a relevant impact images in GCSF. So whether this is their comment this review this or mentioning is to incorporate this amount that was kept by the limit of 5% not more or a review. So, let me see if I understood, I want to know if I understood that correctly or if a more structured review of physical of warranties can be done.Like can, tell you for sure, the amount that I talked about is the amount of the actual methodology that we have these days, which is limited by the capping of 5%. So you liberate that to that capping you would have another rejection of 287 megawatt. It's always possible when we talk about result, but I can't really check for 100%. We for our methodology that we don't know, they would have to be object considering all the ages in this sector and it has to do a strong consultation of course.But looking at San Francisco, which I think there is a counterpart here, from the Company invested in revitalization of selfless school, still early as far as monitoring the water and so on so that is what has an aligned benefit on the point of view of the resources, of course. But another thing that was identified as important to the event and the revitalization should be seen as a benefit to the whole society.Of course, it's not limited just to water but to allow it to of the improvement of the fetus fans of the river and that, of course, would affect all the processes that will be implemented to radicalize that river. So, this is the main reason why the hydraulic system which has more than 14 power plants and it can generate a great benefit. So, of course, in San Francisco is the only river that has in LDT, but it is the object of this priority from really to be checked by the law. That was great.
Unidentified Analyst: A second question last year the year before that when we were discussing the privatization of Eletrobras. There was a discussion about eventually anticipating the renewal of to query and with a filament back to the union. Is this really a possibility or has it been removed from possibilities?
Wilson Ferreira: It's not considered in this project in this law project.
Unidentified Analyst: Thank you.
Wilson Ferreira: [Technical difficulty] December. So, the high boxes of fuel have been bidding for this power plant. It's too waiting for assets it hasn't been returned yet. So it's clear and just I reminded something elese I remember something else talking about the discussion from GSS. This agreement that you have in the BL this extension of concessions, so that you could stop this pending amount, I think it's important that this will happen before the privatization of Eletrobas before this process continues.
Unidentified Analyst: So that they know how many years its confession you have. Do you have an idea of when this can be voted on or is it still pending in the Congress without expectation?
Wilson Ferreira: Well, of course we talked about bricks and there is an expectation that this process will be evaluated soon by Eletrobas it has of course repercussion and it's going to be a priority at any time we hope it will be done as soon as possible, but you will have to be done quickly privatization.
Operator: [Operator instructions] So the next question is Fernando [Indiscernible] from Santander Bank.
Unidentified Analyst: It's a quick question relating to the view of your stakeholders are not just the stakeholders, the shareholders, so of course as possible to your creditors, they said before there was an implicit support from the union and after privatization this support, it's going to be more circular more conflicts. How do you think that the creditors will react or how will the Company behave after privatization for facing this challenge?
Wilson Ferreira: Well, of course based on the law isn't it, the Company will continue being our company that has an attrition to all public commitments that it has many taxes and so on. And then, of course we want to keep on with all these obligations, but always based on the law. The law is really an essential thing for us to relieve for us to pay for actions on them, and it's their respective states to the stakeholders, and we already. Thank you.
Unidentified Analyst: Thank you.
Operator: The next question is from [Indiscernible].
Operator: Okay. So, are finishing the Q&A session. So, we are going to return the mike to Mr. Wilson for the final considerations. Please, Mr. Wilson.
Wilson Ferreira: I would like to thank you for your attention of the analyst, investors, shareholders from Eletrobras for your attention that you had to our conference talking about our trimester. As I said, we are the final process of restructuring and we're bringing back Eletrobras we have very important elements, the conclusion of very important buildings and of course you know talking about also TME and ANGRA 3. We are going through a very important phase also de-leveraging of the Company and going to thinking about 2.5 times growth and also our final is to just operational cost.These are basic condition consist for company to me to be viable in competitive process that correspond to the privatization theme. It's important to mention that the government has given us a huge responsibility with the team bringing together Brazilian corporation with financial capacity which are billion highly world class companies especially provenance procedures that characterize the system and the concentration limit which are very transparent process for evaluation.So, we worried about putting together procedures that will allow us to calculate all the value of the Company and we have been deliberating about it and understand now we are going to phase that we are talking to society and for the project to the chamber of deputy is going to start a long period of talks so that we can improve and the government can improve this process. But it's very important for the future of Eletrobras and I want to remind you by putting the Company in this new competitiveness point it becomes the Company that has seen a financial capacity being reduced and now that we are finishing this process as mentioned to you that, we don't have any project of generation for beyond the delivery that we talked to you and until 2026.So we're introduced by reducing participate just a little bit more because there are no highest project to be delivered. Identically, it will join new projects eventually to make that viable so that it can join new production generation projects and is to have financial capacity would need the capitalization. So the capitalization is externally important for this company to improve the generation for the Company that is moving on a big route of growth and development with the private addition and reform of the retirement system. So this is already very good, so we have a positive plan of view and the Company is really preparing to interact and provide data to the society for make the best decision. I thank you all for being here and thank you so much.Okay, so right now the teleconference on Eletrobras is finished. We like to thank you all for your participation and hope you have a great afternoon.